Operator: Thank you for standing by, and welcome to Alpha Teknova, Inc.'s Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. To remove yourself from the queue, you may press star one one again. I would now like to hand the call over to Jennifer Henry, Senior Vice President of Marketing. Please go ahead.
Jennifer Henry: Thank you, operator. Welcome to Alpha Teknova, Inc.'s fourth quarter and full year 2024 earnings conference call. With me on today's call are Stephen Gunstream, Alpha Teknova, Inc.'s President and Chief Executive Officer, and Matt Lowell, Alpha Teknova, Inc.'s Chief Financial Officer, who will make prepared remarks and then take your questions. As a reminder, the forward-looking statements that we make during this call, including those regarding business goals and expectations for the financial performance of the company, are subject to risks and uncertainties that may cause actual events or results to differ. Additional information concerning these risk factors is included in the press release the company issued earlier today, and they are more fully described in the company's various filings with the SEC. Today's comments reflect the company's current views, which could change as a result of new information, future events, or other factors, and the company does not obligate or commit itself to update its forward-looking statements except as required by law. The company's management believes that in addition to GAAP results, non-GAAP financial measures can provide meaningful insight when evaluating the company's financial performance and the effectiveness of its business strategies. We will therefore use non-GAAP financial measures of certain of our results during this call. Reconciliations of GAAP to non-GAAP financial measures are included in the press release that we issued this afternoon, which is posted to Alpha Teknova, Inc.'s website and at www.sec.gov/edgar. Non-GAAP financial measures should always be considered only as a supplement to, and not as a substitute for or as superior to, financial measures prepared in accordance with GAAP. The non-GAAP financial measures in this presentation differ from similarly named non-GAAP financial measures used by other companies. Please also be advised that the company has posted a supplemental slide deck to accompany today's prepared remarks. It can be accessed on the Investor Relations section of Alpha Teknova, Inc.'s website and on today's webcast. And now, I will turn the call over to Stephen.
Stephen Gunstream: Thank you, Jen. Good afternoon, and thank you, everyone, for joining us for our fourth quarter and full year 2024 earnings call. I'm very pleased with the progress we made in 2024. Alpha Teknova, Inc. is in a better position than ever to deliver on a plan we laid out in 2021 and that we believe will generate long-term sustainable growth. We continue to execute on our growth strategy. In 2024, we supported 48 clinical customers, up from 34 at the end of 2023, a 41% annual increase. We recognized $37.7 million in total revenue. When adjusted to exclude revenue from a single large clinical solutions order of $2.7 million in 2023, total revenue growth was 11%. Revenue from sales to cell and gene therapy-related customers grew 27% in 2024. We maintained our service levels to customers despite reduced headcount and launched three new offerings in 2024: Build Tech, Express Tech, and RUO Plus. Each of these offerings improves the customer experience while also adding to our top and bottom lines. We aggressively managed our operating expenses, which we reduced by $8.1 million in 2024 compared to 2023, excluding nonrecurring charges. We finished the year with a total cash outflow of $13.5 million, substantially better than our initial guidance of $18 million. We also raised additional capital in July, increasing our confidence that we will become cash flow positive without additional funding. Before we dive into the details around our 2024 performance, I would like to take a moment here to thank all past and present Alpha Teknova, Inc. associates for putting us in a position of strength as we look to 2025 and beyond. Our associates' ability to execute on our strategy while reducing costs is a testament to the culture and commitment we have here at Alpha Teknova, Inc. Now I want to provide more color than in years past about our performance by product type and end market. Alpha Teknova, Inc. is a leading supplier of both research and clinical-grade catalog and custom reagents. Our catalog business supports research and discovery across the entire life science community by providing over 1,400 SKUs of commonly used reagents. These reagents are a cornerstone to basic molecular and cellular biology experiments, which is why about 3,000 customers use our products annually. In 2024, catalog reagents represented approximately 60% of our total revenue. While we grew low single digits in this segment in 2024, we exited the second half of the year with 7% growth compared to the second half of 2023, which we believe reflects an improvement in the general R&D funding environment and strong commercial and operational execution internally. The diversity of our end markets we serve and the lack of customer concentration, with no direct catalog customer representing more than 4% of total catalog revenue in 2024, provides not only an entry point for our faster-growing custom products but also a stable and predictable foundation for us as we execute on our growth strategy. The remaining 40% of our revenue is generated from custom research or clinical-grade reagents that are manufactured to a customer's specification and other non-product revenue related primarily to services and shipping. Our ability to quote, manufacture, QC, and ship custom products in weeks instead of months is a critical differentiator for us in the market. Our largest end market for these custom products is biopharma, which includes sales to large pharma, small and midsize biotech, including cell and gene therapies, and CDMOs. We believe this segment reflects our exposure to the bioprocessing end market. Sales to these customers represented approximately 70% of custom revenue and 25% of our total revenue in 2024. The remaining custom revenue is from our reagents predominantly sold to the life science tools and diagnostics customers and other end markets such as academic institutions, animal health, and agriculture. The performance of our custom biopharma business demonstrates the progress we have made in executing on our growth strategy. In 2024, this segment grew about 40% compared to 2023, attributable in part to the onboarding of a new therapeutic customer. But excluding that new customer, our growth was still robust at approximately 25%. Of the 48 total clinical customers we served in 2024, 39 were biopharma-related, and of those, 23 were cell and gene therapy-related. We often support many or all the therapies in a customer's pipeline. Based on our own analysis, we believe we now support at least 50 therapies in preclinical trials, 10 therapies in phase one trials, and three therapies in phase two or later trials. As a reminder, based on our market research, we expect revenue per therapy to increase on average approximately thirtyfold as the therapy moves from phase one to commercialization. For the remainder of the revenue generated from custom reagents, those associated with accounts outside of biopharma, 2024 was a challenging year. First, we had a large single order from a diagnostics company in 2023 that made for a difficult year-on-year comparison. In addition, a few of our larger life science tools companies in the sequencing and spatial genomics segments ordered significantly less than in the prior year. Looking ahead, we believe many of these account-specific headwinds will subside. Taking these product and market segments together, we still expect 2025 to be a recovery year. And we are optimistic that the market will return to more historically typical rates of growth as we enter 2026. We expect to see mid-single-digit growth in our catalog business this year, considering the market's recent stabilization and that we have little to no direct exposure to NIH or tariff-related policies. We also believe custom reagents in the life science tools and diagnostic segment will grow mid-single digits, given our recent conversations with these customers and a more favorable year-on-year comparison. Regarding the custom products we sell to biopharma accounts, while we exited 2024 with momentum, we believe uncertainty in the current macro environment has caused some of our customers to delay orders and others to reduce their annual budgets. We are nonetheless confident that we will achieve at least 15% growth in this. Therefore, we believe our guidance for revenue growth of 7% at the midpoint fairly reflects the current overall market environment and the specific end markets we serve. Lastly, we believe there is an opportunity over the next 12 to 24 months to expand our product portfolio through collaborations and acquisitions. While we have spent the past couple of years investing in infrastructure, systems, and scalability, numerous other companies have focused on developing novel products and technologies. By working closely with these companies, we believe we can expand our product portfolio and geographic footprint. The combination of our operational and commercial scale with our collaborators' novel products and technologies creates a great opportunity to drive additional top-line growth and margin expansion for the longer term. In summary, we still expect 2025 to be a recovery year, and we are confident in our strategy, ability to execute, and capital runway. I will now hand the call over to Matt to talk through the financials.
Matt Lowell: Thanks, Stephen. Good afternoon, everyone. I'm pleased with our financial performance in 2024. As Stephen mentioned, we finished the year with momentum, delivering 17% and 18% year-over-year revenue growth in the third and fourth quarters, respectively. And we significantly improved free cash outflow from $26.7 million in the full year of 2023 to $13.5 million for the full year of 2024. Onto revenue. Total revenue for the fourth quarter of 2024 was $9.3 million, an 18% increase from $7.9 million for the fourth quarter of 2023, and $37.7 million for the full year of 2024, a 3% increase from $36.7 million for the full year of 2023. Adjusted to exclude revenue from a single large clinical solutions order of $2.7 million in 2023, total revenue growth was 11% in 2024. Lab Essentials products are targeted at the research use only or RUO market and include both catalog and custom products. Lab Essentials revenue was $6.8 million in the fourth quarter of 2024, a 2% increase from $6.7 million in the fourth quarter of 2023. The slight increase in Lab Essentials revenue in the fourth quarter of 2024 was attributable to an increased number of customers, partially offset by lower average revenue per customer. For the full year, Lab Essentials revenue was $28.9 million in 2024, consistent with $28.8 million in 2023, driven by an 8% increase in the number of customers to 3,045 that was somewhat offset by a 7% decrease in the average revenue per customer to $9,486. Clinical Solutions products are made according to good manufacturing practices or GMP quality standards and are primarily used by our customers as components or inputs in the development and manufacture of diagnostic and therapeutic products. Clinical Solutions revenue was $1.9 million in the fourth quarter of 2024, a 110% increase from $0.9 million in the fourth quarter of 2023. The increase in Clinical Solutions revenue in the fourth quarter of 2024 was attributable to an increased number of customers, partially offset by lower average revenue per customer. For the full year, Clinical Solutions revenue was $7.1 million in 2024, a 5% increase from $6.7 million in 2023. Excluding revenue of $2.7 million from a single large order in 2023, Clinical Solutions revenue was up 76% in 2024. We added Clinical Solutions customers in 2024, growing from 34 to 48 that spend more than $5,000 annually. Average revenue per customer in 2024 decreased 25% to $148,000. We expect revenue per customer to increase over time as customers ramp up their purchase volumes when they move through clinical trial phases. However, this metric can be affected by the addition of newer clinical customers who typically order less. Just as a reminder, due to the larger average order size in Clinical Solutions compared to Lab Essentials, there can be more quarter-to-quarter revenue lumpiness in this category. Looking at the income statement, gross profit for the fourth quarter of 2024 was $2.1 million compared to $1.3 million in the fourth quarter of 2023, and $7.2 million for the full year of 2024 compared to $10.3 million for the full year of 2023. Gross margin was 23.0% in the fourth quarter of 2024, which is up from 17.0% in the fourth quarter of 2023, and 19.2% for the full year of 2024, which is down from 28.1% for the full year of 2023. The increase in gross profit percentage for the fourth quarter of 2024 was primarily driven by higher Clinical Solutions revenue, coupled with reduced headcount, partially offset by increased overhead costs. The decrease in gross profit percentage for the full year of 2024 was primarily driven by the $2.8 million nonrecurring noncash charge related to the disposal of expired inventory and write-down of excess inventory created in the second half of 2022, as discussed in the prior quarter. Excluding the impact of this charge, gross margin would have been 26.5% for the full year of 2024. The decrease in gross profit in 2024 was also driven by increased overhead costs, largely depreciation expense following the completion of our new manufacturing facility in 2023, which were partially offset by reduced headcount. Operating expenses for the fourth quarter of 2024 were $7.8 million compared to $12.2 million for the fourth quarter of 2023. Excluding the nonrecurring charges of $0.3 million related to a loss contingency accrual and the noncash trading impairment charge of $2.2 million in the fourth quarter of 2023, operating expenses were down $2.0 million. The decrease was driven primarily by reduced headcount and spending, in particular in professional fees. Operating expenses for 2024 were $33.4 million compared to $45.9 million in 2023. Excluding the nonrecurring charges of $1.4 million for the full year of 2024 and $5.8 million for the full year of 2023, operating expenses decreased $8.1 million. The decrease was driven by reduced headcount and spending, primarily on professional fees and insurance, partially offset by increased stock-based compensation expense related to the stock option repricing as well as facility costs. At the end of the fourth quarter of 2024, we had 173 associates compared to 211 a year prior. Net loss for the fourth quarter of 2024 was $5.7 million or $0.11 per diluted share, compared to a net loss of $10.7 million or $0.26 per diluted share for the fourth quarter of 2023. Net loss for the full year of 2024 was $26.7 million or $0.57 per diluted share, compared to a net loss of $36.8 million or $1.16 per diluted share for the full year of 2023. Adjusted EBITDA, a non-GAAP measure, was negative $3.2 million for the fourth quarter of 2024, compared to negative $6.0 million for the fourth quarter of 2023. Adjusted EBITDA for the full year of 2024 was negative $14.5 million compared to negative $19.8 million for the full year of 2023. Excluding the $2.8 million inventory charge, adjusted EBITDA would have been negative $11.7 million in 2024. Cash flow and balance sheet highlights. Capital expenditures for the fourth quarter of 2024 were $0.6 million compared to $0.3 million for the fourth quarter of 2023. Capital expenditures for the full year of 2024 were $1.1 million, compared to $7.9 million for the full year of 2023. Free cash flow, a non-GAAP measure, which we define as cash provided by or used in operating activities, less purchases of property, plant, and equipment, is negative $1.5 million for the fourth quarter of 2024, compared to negative $3.2 million for the fourth quarter of 2023. Free cash flow for the full year of 2024 was negative $13.5 million compared to $26.7 million for the full year of 2023. This decrease compared to prior periods for both quarter and full year was due to lower cash used in operating activities and a decrease in capital expenditures. Note that for the financial period in 2025, we are changing the definition of free cash flow to cash provided by or used in operating activities plus cash provided by or used in investing activities. This definition better aligns with our current reporting method for short-term investment. Turning to the balance sheet, as of December 31, 2024, we had $30.4 million in cash, cash equivalents, and short-term investments, and $12.1 million in gross debt. For the 2025 outlook, we are providing 2025 total revenue guidance of $39 million to $42 million. At the midpoint, this implies 7% revenue growth compared to 2024. While we saw a nice rebound in 2024 from biopharma customers, we believe 2025 is another recovery year. There remains cautiousness across some of our customer base, which we believe is related to macroeconomic uncertainty, particularly as it relates to the rate of capital flowing into the sector. The low end of our range assumes these headwinds worsen, and the high end assumes some easing. As we have indicated before, due to the high percentage of fixed costs associated with our operations, we estimate that each additional dollar of revenue drops through at a marginal cash rate of approximately 70%, with some variability year to year. We expect to see gross margins in the high twenties percentage range in 2025, compared to a normalized mid-twenties percentage range in 2024. The company posted operating expenses excluding nonrecurring charges below $8 million for the third quarter in a row. That reflects steps we took during 2024 aimed at reducing operating expenses, which resulted in total cost savings of $8.1 million in 2024 compared to 2023. We believe that we are appropriately sized at operating expenses of approximately $8 million per quarter, allowing us to moderately increase our investments in sales and marketing to position ourselves for the market recovery. At this spending level, we continue to expect to achieve adjusted EBITDA positive in the range of $50 to $55 million in annualized revenue. The company saw a reduction in free cash outflow during the fourth quarter of 2024, both sequentially and versus prior year. This is the lowest free cash outflow since the first quarter of 2021. Once again, the company is pleased to report that free cash outflow for the full year of 2024 of $13.5 million was significantly below our most recent guidance of less than $16 million. As we turn to 2025, the company expects free cash outflow to be less than $12 million. We are also pleased to announce the amendment and extension of our credit facility. First and foremost, we have reset the maturity date of the credit facility to March 2030 with no scheduled repayment of principal for the next three years. However, we are increasing the principal amount on our term loan to $13.2 million, representing a $1.1 million increase rather than paying cash at closing for the exit fee owed to our lender. Through covenant changes, we have effectively increased our liquidity by $4 million, giving us additional cash runway. In conclusion, we're excited about the future and the company's competitive positioning in the market with attractive fundamentals and believe there is significant margin expansion potential as top-line growth accelerates. With that, I'll turn the call back to Stephen.
Stephen Gunstream: Thanks, Matt. Overall, we were pleased with our fourth quarter and full year 2024 performance and the progress we made against our strategic priorities. We believe the long-term outlook for our end market remains positive, and we are committed to executing on our strategy to help our customers accelerate the introduction of novel therapies, diagnostics, and other products that improve human health. We will now take your questions.
Operator: As a reminder, to ask a question, you will need to press star one one on your telephone. Our first question comes from Matt Larew of William Blair. Please go ahead, Matt.
Matt Larew: Hey, guys. And congrats on the next progress. Steven, I wanted to focus on the comment you made around sort of softening into the beginning of the year, you know, to perhaps some conservative customer budgets, delayed purchases. Is that something that, you know, February relative to January, you saw this softening moving to the first part? And then was this really regardless of customer designation, meaning, you know, large biopharma or small biotech, or has the change in behavior mostly been within those kinda cash-strapped biotechs?
Stephen Gunstream: Yeah. Thanks, Ben. So I would say, yes, it's a little bit more recent that we're continuing to see this. You know, it is a phenomenon we've seen for the last couple of years where some customers are very excited in December. Like, we've talked about, left with a lot of momentum. January still felt pretty good, but then you started to hear about, well, maybe we'll order that in Q2 instead of Q1 type of conversations. That said, of course, we still believe, you know, in that 15% growth I mentioned in biopharma in the script here. So, you know, there's still some companies out there that are very positive, but I think there's still some others trying to figure out, you know, in this environment what that's gonna mean for them in terms of their capital runway. So it's not all bad, but it is definitely peaking up a little bit more in this late January, February time frame. We are seeing it more in the smaller companies, I would say. I think large pharma, we're still seeing pretty good pieces in the catalog business. You know, it continues to do fairly well. Now we have very little academic exposure there, as you know. But it's really more in maybe some life science tools and small, mid-sized biotech that are kind of more in a tougher situation with regards to capital raise.
Matt Larew: Okay. Thanks. And then you give some numbers around on the clinical side. Where your own customers are out with respect to preclinical phase one and phase two and beyond. You know, I understand the progression of that is in large part dependent on your customers' clinical success. But I was curious maybe if you could help us with what is the composition of your new customer pipeline look like? Is it all on the preclinical side, or are you having opportunities to win business in the clinical stages as well?
Stephen Gunstream: Obviously, as you get further down that pipeline, it's much harder to convert business. We have been successful moving a phase two or later customer therapy over to us and then expanding within that pipeline to get the remaining therapies that they're working on, particularly on the downstream processing, which covers preclinical all the way through phase two. So it can be done. It's a twelve to eighteen-month process and requires work on both sides to make that happen. Most of our new customers are coming in either preclinical or phase one. And so, you know, that is where we typically attract them, and we continue to see that go up despite them rationalizing, you know, some pipeline over the last couple of years and some difficult macro environments. But, you know, I think we are able to convert these customers given the platform.
Matt Larew: Okay. Then just last one would be for Matt. Obviously, you had the large clinical solutions order in 2023 that you're copying in 2024. Just as we're thinking about 2025, any kind of large, you know, one-time-ish kind of things to be aware of from 2024?
Matt Lowell: No. I wouldn't highlight anything in particular in 2024. I just say, you know, generally with the business of our scale, I mean, we are gonna have times when there's lumpiness in the revenue in clinical solutions and even in lab essentials where we have some of our custom orders and larger customers there. But no. I think really with that one in particular was so large that it warranted calling out, of course, it was disclosed in our filing, but I don't see anything, you know, so large like that to call out, but there will at times be some lumpiness.
Stephen Gunstream: Yeah. I think it's fair to say that, you know, in 2024 as a whole, we didn't have any single customer represent more than 4% of our total revenue. But to Matt's point, you know, around a million dollars can shift a quarter, and that obviously has a big impact.
Matt Larew: Okay. Fair enough. Thanks a lot, guys.
Stephen Gunstream: Thanks, Matt.
Operator: Our next question comes from Matthew Parisi of KeyBanc Capital Markets. Please go ahead, Matthew.
Matthew Parisi: Hi. Yes. This is Matt Parisi on for Paul Knight at KeyBanc. I believe you mentioned on the call, but I was sure if you could just say it again. Provide the number, the updated number of cell and gene therapy customers. And then if you could provide any insight into how many of the newly approved cell and gene therapies you are involved with or any of the total commercial cell and gene therapies you are involved with?
Stephen Gunstream: Yeah. So we said on the call that now 27% of our total revenue is made up of cell and gene therapy-related companies. And that includes, obviously, their discovery work, revenue as well as their sort of clinical trial work. So catalog custom in our clinical solutions products. We also had 23 clinical customers in that category. We now support, it'll be updated in the slide deck as well, we just see that over a hundred total cell and gene therapy customers. As at this point in time, we are not supporting any commercialized cell and gene therapies. If you remember, you know, we really started down this pathway in 2021, and those have not migrated through, but that is obviously the strategy here is to get these customers in and go down that pipeline.
Matthew Parisi: Thank you. And then one other one would be, if you could just more around the modeling, if you could provide some detail on the phasing for revenues in 2025. And if we should expect the usual seasonal phasing throughout the year.
Matt Lowell: Yeah. I'll make this comment about 2025. I do expect the first quarter to be the lowest quarter of the year, probably similar to the year-ago quarter, maybe a little bit below that. And that's in part due to some of the reasons that Stephen was just talking about. There's always some lumpiness in there, but also the current market environment, but we're confident in the full-year guidance. So I would expect to see from Q1 at the low points moving up to Q2 and then into Q3 and then per our usual seasonality, might expect a little bit less in Q4 just because of the fewer business days, which impacts the catalog part of our business in particular. So Q1 the lowest, kinda progressing up to Q2, Q3, and maybe a little less in Q4. All getting us in that $39 to $42 million range.
Matthew Parisi: Sounds great. Thank you so much.
Operator: Thank you. Our next question comes from Mark Massaro of Citibank. Please go ahead, Mark.
Mark Massaro: Hey, guys. Thanks for taking the questions. Maybe a two-parter. You know, I understand that the revenue per customer declines as newer customers come on board. You know, new customers typically order less than more mature customers. Can you give us a sense for how long it typically takes a new clinical customer to reach a similar level of a more mature customer? And then the second part of that, has there been any changes to any of the pricing of the reagents? I assume it's been flat to slightly up, but I just wanted to check on that.
Stephen Gunstream: Sure, Mark. So on the revenue ramp, you know, I'll just give you from a sales cycle perspective. Right? We typically engage with the customer, present to them our capabilities, and then there's a process of where they come visit the facility, and then a quick little validation piece. And I say quick, but quick for us could be a couple of months of work to get them to validate that we can manufacture the product the way that they're looking for us to make. And then we're then very much dependent on their trial timelines. Right? So what we've seen is, you know, some customers come in pretty early, they're spending the tens of thousands of dollars, and then it takes about a year to a year and a half to really get it ramped up to the hundreds of thousands of dollars. Give you that kind of perspective. And, of course, there's, you know, every customer varies a little bit, but that kinda gives you an idea. On the pricing side, yeah, we do annual price increases. And it's based on, you know, our portfolio, how unique each product is, in the space and the market pricing. And so we go through that process, and we've implemented a new pricing for our entire catalog product, as well as new algorithms for our custom pricing. We did that at the beginning of the year.
Mark Massaro: Okay. And any chance that you could try to quantify what the price increases were? Were they consistent with general levels of inflation, or is there any additional color you could provide?
Stephen Gunstream: Yeah. Sure. Mark, about mid-single-digit increase on average overall.
Mark Massaro: Okay. That makes sense. And then I think I heard you talk about your 2025 guidance based in, if I heard correctly, mid-single-digit growth among, I think, some of your diagnostics customers. Did I hear that correctly? And is it safe to say that that might be the fastest-growing segment relative to, you know, perhaps the cell and gene therapy customers that may be under more pressure from a capital markets perspective? It would just be helpful to get a sense of, you know, also how you're thinking about the sequencing and spatial space.
Stephen Gunstream: Yeah. Absolutely. So let me break it down for you. On the catalog side, which represents 60% of our business, we believe mid-single-digit. We exited the year, as you're gonna say, with 7% growth in the back half of 2024. We're thinking this year, it'll be in the mid-single digits there. Life Science Tools Diagnostics, difficult year-on-year comparison, some challenges just with a few accounts. We think we're kind of over that now, but I do believe it'll still be a mid-single-digit. Some of these companies are still struggling to ramp up a bit. And then the fastest-growing segment is the biopharma. The custom biopharma, which we think represents the bioprocessing segment. And, yes, we're seeing some headwinds, but remember, you grew 40% last year. And so we believe this is more of a 15% growth in 2024, given the current macro environment. Right? And so the bookends of our guide is get worse versus things get better.
Mark Massaro: Yep. That makes sense. And then maybe one more. Should we, you might have mentioned it, should we assume flat headcount and flat commercial organization?
Matt Lowell: I would say generally so, Mark. As I mentioned, we're gonna tweak up the commercial investment a little bit this year. And it won't be headcount-driven. There may be a couple of headcount here and there. But by and large, you know, as we've communicated in the past, we believe the infrastructure we have in the company, including our operating expenses, and the headcount associated with that, is generally where we need to be right now as a company. So we're not looking to grow there. It's more just one-off type of thing. So I would say, yes, generally flat, although not precisely. There could be a couple here and there.
Mark Massaro: Alright. Great. Thank you for taking my questions.
Stephen Gunstream: Thanks, Mark.
Operator: Thank you. Our next question comes from Matt Hewitt. Please go ahead, Matt.
Matt Hewitt: Good afternoon, and thanks for taking the questions. Maybe first up, I was hoping we could dig in a little bit more on the market commentary. As you, you know, as you listen to earnings calls over the past few weeks, the bioprocessing sector in particular commentary has been pretty healthy, seeing that, you know, in 2026, everyone expects the market to kinda get back to where it has been historically. It sounds like you're kind of calling for a similar, but maybe things have changed here over the past few weeks. Am I hearing that correctly?
Stephen Gunstream: I think we'll put it this way. Right? We're basically saying that we'll grow in the 15% range in that bioprocessing segment, which I think is probably similar to some of the peers. I still don't think we're back to what was historically normal rates of growth in that space. And if that happens, we think we could grow more like we did in 2024. Right? We grew 40%. We were coming into the end of the year feeling pretty good about where we sat with those customers. Then we did see some slippage. So it is more recent, Matt, that we're starting to see some of these orders that we would have expected in Q1 get pushed to Q2, that sort of thing. So, yes, does that help?
Matt Hewitt: Yeah. Yes. It does. Thank you. And then maybe a little bit of an off question versus your comments earlier that you're really not impacted by NIH funding and tariffs and whatnot. But there has been some discussion about implementing like, a 25% tariff on drugs that are imported to the US. How would that impact your business? What, you know, I think you're largely a domestic provider, but is there a chance that you could potentially see some double-dipping where maybe your customers that were manufacturing OUS say, you know what, we need to shift this production to the US. And therefore, you know, the products that we have been ordering before, we now have to actually order a second round of those. Is that possible, or am I thinking too far afield on that?
Stephen Gunstream: It's certainly possible. First, I would say, yes. On the NIH side, you know, 4% of our sales are related to academic institutions, of course, which are not all funded by the NIH. So pretty limited exposure there. Around 95% of our sales are domestic. And we manufacture everything here in the United States. So, you know, we're relatively insulated from that perspective. Now if, you know, if we believe things are being brought more onshore here, I, you know, some of those 48 clinical customers we support are CDMOs. And if they get busier, then we will likely get busier, and that could be an opportunity for additional growth. So I think it's possible there. I haven't really thought about the double-dipping piece. I guess we'd have to wait and see.
Matt Hewitt: Got it. Alright. Thank you very much.
Operator: Thank you. And that is all the time we have for Q&A today. This concludes today's conference call. Thank you for participating. You may now disconnect.